Operator: Good morning, and welcome to the UnitedHealth Group Second Quarter 2019 Earnings Conference Call. A question-and-answer session will follow UnitedHealth Group's prepared remarks. As a reminder, this call is being recorded. Here is some important introductory information. This call contains forward-looking statements under the U.S. federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. A description of some of the risks and uncertainties can be found in the reports that we file with the Securities and Exchange Commission, including the cautionary statements included in our current and periodic filings. This call will also reference non-GAAP amounts. A reconciliation of the non-GAAP to GAAP amounts is available on the Earnings Reports and SEC Filings section of the company's Investors page at www.unitedhealthgroup.com. Information represented on this call is contained in the earnings release we issued this morning and in our Form 8-K dated July 18, 2019, which may be accessed from the Investors page of the company's website. I'll now turn the conference over to the Chief Executive Officer of UnitedHealth Group, David Wichmann. Please go ahead. 
David Wichmann: Good morning, and thank you for joining us. Today, we reported strong well balanced revenue and earnings growth across our businesses, continuing trends of the last several years. We have considerable momentum, improving the consumer position and customer experience, applying rigorous net promoter disciplines within a culture built to serve people's most fundamental need their health.  Executing on our mission, helping people live healthier lives and helping make the health system work better for everyone, produces value for people, the health system and society, overall, and strong returns for our shareholders.  In the first half of 2019 total revenues grew year-over-year by 9%, or $9.6 billion to $121 billion. Adjusted earnings per share advanced 18%. Both UnitedHealthcare and Optum contributed strongly to these results, generating total enterprise operating cash flows of $9.1 billion or 1.3 times net earnings.  Confidence in our ability to continue to advance our fundamental performance and profitable growth leads us to increase our outlook for full year adjusted earnings to a new range of $17.40 -- $14.70 to $14.90 per share. We are constantly developing and refining our differentiated set of core capabilities, enriching, integrating and applying deep proprietary information sets to improve engagement and clinical decision making, embedding modern analytics and technologies across the system to make it more interoperable, transparent and efficient. And expanding the scope and effectiveness of our clinical capacities, and aligning with others to value based incentives to improve health outcomes while lowering costs. As we work in partnership with the care community and others, these competencies enable us to develop the next generation health system in a socially conscious way. A system that provides high quality, efficient and fair access for all. You can see the latest evidence of our progress on a number of fronts, our recently completed combination with DaVita Medical Group meaningfully expands Optum Care’s nationwide network of physicians.  The John Muir Health strategic relationship announced yesterday is unique and expressive services and demonstrates the roll Optum can play when it’s fully aligned with its customers, serving the needs of local communities. Continued OptumRx gains in employer health plan and coalition markets reflect the distinctive more wide ranging and more modern consumer approaches OptumRx applies to deliver value addressing one of the most challenging burdens of healthcare, excessive drugs and biologic costs. The first 20 million real time interoperable individual health records are being scheduled for market deployment. We remain optimistic about the potential of these deeply personalized health records, and associated next best action recommendations to improve the health of people we serve and the overall system performance. Consumer engagement aligned to this actionable health information plays a critical role in developing the next generation health system. By the end of this year, Raleigh’s [ph] digital engagement capacities will be available to nearly 20% of the U.S. population, solidifying its opportunity to advance individual health at scale. Physician data sharing and value-based incentives round out a true end-to-end alignment of a progressive health system. Value Based payments to care providers are growing at more than 15% in 2019, aligning incentives to practice high quality care, while improving the effective use of health system resources. We expect these value-based payments to ramp at an even more accelerated pace in the coming years. All of these and the examples offered by our business leaders today are only a partial reflection of the steady progress we are making in advancing our enterprise mission to make healthcare work for everyone, so everyone can live healthier lives. The results are compelling. We are lowering costs trends, steadily improving NPS, and achieving improved clinical outcomes, leading to continued long-term sustainable performance and growth for our business. With that, I'll now turn to UnitedHealthcare's new Chief Executive Officer, Dirk McMahon. Most of you know Dirk from when he was first joined UnitedHealthcare in 2003. Having worked in major leadership roles at UnitedHealthcare, Optum and UnitedHealth Group he notes firsthand how to maximize the full capabilities of this enterprise, including the clinical capacities of Optum Health, the data insights and advanced technologies of OptumInsight and the distinguished pharmacy care solutions offered by OptumRx. Dirk?
Dirk McMahon: Thank you, Dave. Glad to be back at UnitedHealthcare. I'm pleased with what I've seen in the first few weeks in the role, we don't need a major shift in direction, but we will sharpen our focus on delivering consistent growth performance across all market segments. An essential step to drive growth is consistently achieving superior operating and middle co-cost structures. Cost impacts member health when it is a barrier to getting care, and we need to address that even better for people. It’s the primary driver of consumer satisfaction in NPS. When we improve satisfaction in NPS we drive growth. We’ll continue our intense focus on simplifying and improving the experience for people. Using our digital platforms and applications, we can improve our ability to help people navigate the complexities of healthcare and get people on effective care pathways. This creates a better clinical and service experience, which leads to better outcomes, cost containment and satisfied members. Some of the essential elements of this include, better information sharing with consumers and their doctors, creating aligned incentives among consumers, care providers in Unitedhealthcare, tailoring products to consumer needs, providing digital and human navigators to support consumers in their health and care journeys and offering practical technology at key decision points. Simplicity is vital to making healthcare easier, our Navigate4Me offering simplifies and personalizes care for seniors with complex conditions. It provides them with a single point of contact for concierge services, and a dedicated team of experts, supported by a proprietary technology platform with integrated data, navigators help coordinate care through personalized care plans and address social determinacy. Results have been positive, with a 14% reduction in hospitalizations, and a 9% reduction in ER visits for patients with congestive heart failure. Navigate4Me dramatically improves NPS, now nearly 20 points higher than traditional approaches. With nearly 1000 Navigators now in place, we will continue to expand appointment and impact over the coming quarters.  We have created simplified paths, enabling doctors to provide high quality surgical procedures and ambulatory settings. These can be less than half the cost of traditional inpatient settings, with higher quality outcomes and greater consumer satisfaction. And, our recently launched preferred lab networks create paths for patients and -- physicians and patients to use to lower costs testing facilities, make it easier to order labs electronically, and provide turnaround times to results.  From these examples and more across inpatient and outpatient services, we see an opportunity for more than 20 billion in potential annual savings in spend, managed by United Healthcare’s employer and individual business alone and reducing unwanted variations in care, converting care to the most appropriate side of service and aligning with high performing delivery systems. We continue to diversify and extend our employer and individual business, organizing local systems of care physically, virtually and digitally, building collaborative relationships with care providers and sharing data by directionally with them and innovating around product designs.  For example, our partnership with Centura Health announced last year in the Colorado Doctors plan is achieving price points 20% lower than our broad access offerings. Some of the attributes driving this success include the use of effective referral patterns, timely texting with alternative care options when a patient registers at the emergency room and virtual appointment. This is the type of total cost of care product innovation you should expect from us. Likewise at community and state, medical costs and operational improvements are advancing nicely as planned. And on the growth front, we're preparing to serve more people later this year with our recently awarded North Carolina opportunity. Our businesses serving people who are duly eligible for Medicaid and Medicare continue to expand and perform well. The outlook for further growth in this category, and more broadly in the group and individual Medicare Advantage remains exceptional. Year-over-year, we've grown by more than 540,000 people across these important areas greater than 10%. We see significant macro revenue growth opportunities in these categories for years to come. As such, we will continue to invest in many ways ranging from stable benefits to better coordination of care. For example, in 2020, we will provide all duly eligible members with a personal care coordinator to help manage their Medicaid and Medicare benefits and coordinate clinical needs, such as appointment scheduling, filling prescriptions and closing gaps in care. UnitedHealthcare’s financial performance continues to be strong. Revenues grew 6% to $48.6 billion, while operating earnings advanced 12% to $2.6 billion in the quarter. I'm looking forward to working with our team to further elevate UnitedHealthcare’s performance from the strong position we hold today, delivering more value across multiple dimensions in healthcare. Now, let me turn it over to Andrew Witty, Chief Executive Officer of Optum.
Andrew Witty: Thank you, Dirk. At Optum, we’re developing and building a broad set of capabilities, supporting a vision for providing better healthcare and increased affordability for more people. This compels us to rethink healthcare can be provided more holistically across the broad and changing healthcare landscape. One significant opportunity for improvement comes in chronic disease care. The 30 million people in the U.S. with three or more chronic diseases account for two-thirds of healthcare spending today, and the number of people is expected to grow to 80 million by 2030.  Managing these chronic patients requires a multidisciplinary hands on approach Optum building in its next generation condition management programs. These include the management of emerging high cost specialty drugs, which are expected to continue to be a leading driver of medical costs inflation. We address these trends through a broad range of approaches, including direct delivery of home and office infusion services, and direct delivery of specialty pharmacy prescriptions to the home with digital care services provided by Optum pharmacist to educate patients on how to properly take their medication. Another challenge Optum is meeting head on is a dramatic rise in oncology drug spending. In the U.S. health system, misaligned incentives lead to administering higher cost oncology drugs unnecessarily. We do think there's a better way. Early results from our integrated OptumCare Cancer Center in Nevada suggests a decoupling oncology drug payments from Dr. Compensation can reduce pharmaceutical spending for seniors by nearly 30%. It drives improved clinical quality based on the best science, while keeping the patients comfort, care and dignity as the highest priority. And ensuring physicians administering the care are paid fairly for their excellent work.  We're exploring other new approaches along therapeutic lines such as chronic heart failure, and musculoskeletal conditions to more comprehensively address care needs of those with significant health challenges. The right delivery of care by physicians would be pivotal to this agenda, as OptumCare seeks to coordinate each patient's care journey with a focus on proactive, preventive medicine, especially for those with the most acute need. Creating value for those we serve translates the stronger financial performance. Over just the last three years, the revenue per consumer served by OptumHealth has grown by nearly 50%. In the quarter OptumHealth total revenue grew 20% to $7.1 billion, while operating earnings advanced 21% to $688 million.  Like OptumHealth, OptumInsight’s positioning and capabilities have evolved over many years. OptumInsight has advanced from what was once primarily a point solution provider of technology to diversified enterprise solutions organization. The business has deep and broad expertise to solve some of the biggest challenges in healthcare for payers, providers, life science companies and governments. Our new multi-year relationship with John Muir Health is distinctive in its comprehensive nature. John Muir is nationally recognized for quality of care as a major independent health system in the San Francisco Bay Area. Our relationship, funds revenue cycle, information technology, ambulatory care coordination, analytics procurement and consulting services. The partnership will deliver broad performance improvement at John Muir and for its patients and physicians. With this another new relationship OptumInsight’s second quarter backlog grew 20% year-over-year or more than $3 billion to $18.5 billion. Revenues advanced 7% to $2.3 billion and operating income increased 16% to $525 million. OptumRx continues to evolve from a traditional PBM to a diversified pharmacy care services organization deeply focused clinically and enabled by vast data and ever improving technologies. This quarter we introduced a new and transparent digital consumer pricing tool. MyScript finder puts lower cost pharmaceutical alternatives and coverage status at people's fingertips. It offers instantaneous consumer relevant cost transparency with actual out of pocket costs based on pharmacy location, benefit plan design and deductible status. So far, consumers have conducted over 1 million searches in the first 60 days of usage. OptumRx continue to win in the market. Its value is resonating with health plans, large employers and purchasing coalitions. We’re driving greater pharmacy and medical care alignment, better service quality, lower costs, improved transparency, and an expanding breadth of services at the local market level, including home infusion, e-commerce specialty and community based dispensing services.  As a result, OptumRx continues to profitably expand share. In the second quarter, revenues advanced by 12% to $18.9 billion and OptumRx added $11 million adjusted scripts year-over-year. These are just a few examples of the progress we've made and how the Optum businesses are advancing the way they serve in both their individual and market segments. And together as they deploy broad based market solutions, and yet we remain at the very early stages of what Optum can be. Now I'll turn to John Rex, CFO of UnitedHealth Group.
John Rex : Thank you, Andrew. Our first half positions us to perform well for the rest of the year. In the quarter, revenues grew 8% to $60.6 billion and net earnings from operations grew 13% to $4.7 billion. All of the business segments contributed strongly to these well balanced results. With previously discussed business transitions now effective as of mid-year, we're updating our full year revenue outlook. With these incorporated, we expect 2019 revenue to be at or just slightly below the original $243 billion to $245 billion range. This reflects the transition of a large OptumRx client due to a business combination and are voluntary withdrawal from a state Medicaid program, partially offset by the DMG combination. Cash flows from operations were $5.9 billion in the quarter and year-to-date are $9.1 billion or 1.3 times net income. For the full year, we continue to expect cash flow from operations of $17.3 billion to $17.8 billion or 1.2 to 1.3 times net income. Medical costs remain well managed with our 2019 medical care ratio tracking well to the range we shared with you back in November of 82.5% plus or minus 50 basis points.  Unit cost remains a core driver of overall trend, and we continue to advance our efforts to optimize both site of service and use of the highest performing clinicians. We continue to expect that 2019 will mark the 11th consecutive year of declining inpatient admissions per 1,000 people.  Our operating costs ratio of 13.9% is impacted by the deferral of the health insurer tax and a strong mix of productivity and operational improvement enterprise wide. And with our focus on affordability, that agenda is never really done. At the same time, we continue to aggressively expand the investments we are making in innovation to drive organic growth and further operational and productivity improvements over the decades to come. In 2019, our effective tax rate is favorably impacted as expected by the deferral of the non-deductible health insurance tax. The second quarter rate was moderately higher than our original outlook. For the full year of 2019, we now expect the tax rate will likely be around 20.5%. That's the upper end of our original range for the year, which is fully incorporated in today's raised earnings outlook and is due impart to lower than expected employee stock-based compensation activity. We continue to maintain balance sheet strength and significant flexibility. Return on equity in the second quarter again exceeded 25%. UnitedHealth Group has a long well developed and proven ability to thoughtfully deploy capital through business combinations that add capabilities and market presence to be leveraged across the enterprise, bringing both synergies and growth and costs. In June, our Board of Directors raised our shareholder dividend by 20% to an annual rate of $4.32 per share. The dividend has advanced at or above 20% each year since initiated about a decade ago, and at about a 30% payout ratio has grown to be more in line with the market level objective we set. Still our long-term earnings growth potential provides ample capacity to continue to advance the dividend at strong rates for years to come. We remain confident as we look forward to the second half of 2019. And now expect adjusted earnings per share of $14.70 to $14.90, an increase of $0.25 from the guidance we established at the end of last year. Within that, as previously discussed, the pacing of weekdays is higher in the third quarter this year, resulting in a relatively consistent level of earnings between the third and fourth quarters.  Delivering on our 2019 commitments and strengthening our business further as we approach 2020 remain critical to us. Even as we pursue ever greater impact for society and advanced growth and returns for our shareholders for years to come. With that, I'll turn it back to Dave. 
David Wichmann : Thank you, John. We will continue investing for the future building, innovating and diversifying as we seek to support the development of the next generation health system, a system that provides high quality and efficient access for all, a system that achieves better outcomes and experiences at lower costs for people. This is the essential work of our enterprise. It provides us with an extraordinary opportunity and responsibility to help improve healthcare in the U.S. and globally, and to continue growing our business in these large and fast growing markets. It is why if you spend time at our organization, you can feel the restlessness among our 320,000 dedicated professionals, all focused on making an impact in everything we do, and generating stronger societal and shareholder return. And with that, let's open it up for questions. One question per caller, please, operator.
Operator: [Operator Instructions] Thank you. We'll take our first question from Justin Lake with Wolfe Research. Please go ahead.
Justin Lake : Thanks. Good morning. First, just let me congratulate and wish John Penshorn on a great retirement, well deserved, you’ll be missed. And then I've got a MLR question a couple parts. So bear with me. First, any color on quarterly medical trends, specifically, you saw very strong development in the quarter, any offsetting trend factors that we should think about? And then you're halfway through the year, can you give us an update on where you see MLR trending relative to the full year guidance of 82.5%? And lastly, you mentioned the days of the week, kind of impacting negatively to third quarter as they positively impact the Q1. So anything you could do to help us thinking about MLR in the third quarter relative to the 81% from last year. Thanks for bearing with me.
David Wichmann: Thanks. John Rex?
John Rex: Sure, Justin, good morning. So a few things, just thinking about first of all on your first point here on impacts on quarterly trends. So underlying trend as they stayed very much in line with our expectations, so no change in that in terms of the trend factors we lay out we've talked about and I would say even really no change in the components within that trend. I would say kind of in terms of other things going on in the quarter within that nothing in the cost line. I mean I would point out that in the revenue line there's probably one item I could speak to that would have impact on that. So there's probably about roughly $100 million maybe a little bit more than $100 million of unfavorable revenue adjustment in the commercial business that was booked in the quarter. So you recall there are risk adjustment factors that apply to commercial business for ACA compliant individual and small group products. And so that goes through over a long period of time, our data submissions have been and continue to be highly accurate on that. However, it's kind of a fixed pool in the end. And so there was a true up as there were auto adjustments on other plans, then what happens is that rolls through you get adjusted because of the fixed pool. So that's one element that would have been rolling through in the quarter. And I'd size that in the tune of a kind of $100 million. So that doesn't show in reserves right that’s the revenue adjustment a negative revenue adjustment. So that's one element I point out. I think, in terms of kind of a combining your last two questions Justin, a little bit here. And so 3Q has that extra week day essentially a Monday, whereas -- and 1Q and that you can kind of see in the sequential progression even 1Q to 2Q, 1Q benefited from there being one less weekday than normal. So that does impact progression, whereas typically you would see 3Q is often than one of our higher earnings quarters and my comments, in my prepared comments I talked about kind of relatively stable EPS in between the two quarters. But you're right and thinking about that within the 3Q you should expect that MCR is impacted most like we got the benefit in the 1Q. Does that get at your questions, Justin. 
Justin Lake : Just the MLR for the year the 82.5% and now that we're halfway through the year any anywhere you want us to kind of think about. You feel like you're on track with midpoint or slightly higher or slightly lower.
John Rex: We think we're tracking well on MLR for the year in that range. So -- and well kind of in that zone so nothing notable on that.
Justin Lake: Great, thank you very much. 
David Wichmann: Thank you, Justin. Next question, please.
Operator: Our next question comes from Charles Rhyee with Cowen. Please go ahead, your line is open.
Charles Rhyee: Yes, thanks for taking the question. I want to ask about sort of the commercial membership here, I think at the Analysts Day you guys talked about sort of to see improving membership growth there. The quarter was relatively flat. Can you give us a sense on how we should be thinking about that as we think to the first year given some your comments today?
David Wichmann: Sure. Dirk do you want to address that?
Dirk McMahon: Yes. Let me start off in the fully insured area. We improved over the first quarter. We had nominal fully insured losses in 2Q. There's no notable areas to mention. We're confident that we price our book consistent with our trend forecast. And we actually see how our pricing approach actually pulled through to the earnings. So that's kind of the fully insured story. As it relates to fee, we lost 80,000 members in the second quarter, but that's normal related to national account seasonal attrition. As we look at our fee business, throughout 2019, what we expect to see is that favorable membership growth above and beyond the acquisition that we made. So that's kind of the commercial membership story.
David Wichmann: Thank you, Charles. Next question, please.
Operator: Our next question is from Josh Raskin with Nephron Research. Please go ahead.
Josh Raskin: Thanks, guys. Good morning. I'll echo the congratulations to Mr. John Penshorn as well for all his help over the years. I'm curious about the John Muir announcement. I know you guys mentioned it. I'm curious, what makes it unique? Is it just the breadth of services? Or is it -- it sounds like a lot of things that you guys have been in the market doing. And then can you talk maybe a little bit more broadly about preparing large systems to take risk and why Optum thinks it's a good idea for these large systems to be taking more and more risk, even maybe starting with their own health plan. And I guess last part of this, we're seeing a lot of the demand -- we're seeing a lot of the supply in the market from enablers of that type of technology and systems that are doing what Optum is doing. Is there demand that sort of matches that supply? I know it's kind of a lot of questions in there, but just sort of broadly on that topic.
David Wichmann: So maybe Eric can answer the specific question on John Muir and then we'll have Andrew Witty, take the second part there around preparing large systems. 
Eric Murphy: Yes, maybe I'll do first and second, if that's okay there, or first and third, sorry. Josh, thanks for the question Eric Murphy with OptumInsight. Our partnership with John Muir Health really represents one of the most comprehensive in the healthcare industry, between a delivery system and a health care services company. The integrated scope of services includes acute and ambulatory revenue cycle management end-to-end information technology services, ambulatory care coordination, enterprise analytics, purchasing and consulting services. It is very unique in the marketplace in that health system has never contemplated putting out that much of a scope of work on both the back office as well as what I'd call the middle office of a delivery system. So it is quite unique and first in the industry, and Optum is ideally suited to be able to address those expansive needs of John Muir Health.  In terms of the third part of your question, our market knowledge suggests that several hundred regional health systems have similar size and market opportunity as John Muir. We’re already in discussions with several high performing independent community based systems and look forward to establishing continued partnerships, similar to John Muir Health, with health systems across the industry. Andrew, do you want to take the second part?
Andrew Witty: Yes. Thanks, Eric. And thanks, Josh, for the question. I mean, clearly, we have a very strong view that the best way forward in terms of improving quality bringing down total cost of care is to increasingly new towards value in terms of the management of the care continuum. That is very much the focus of the OptumCare strategy and is resonant throughout all of our various platforms. But it's also very clear that we're seeing more and more systems begin to look to move in that direction. Where as they look to Optum, they can see portfolios of information systems, skills, which have been developed within our own organization, which are going to be just as useful within those systems as they are within for example, our OptumCare organization. So for us, this is a very important opening up of a new front in terms of the opportunity to develop our interventions in the marketplace, and we believe move to a more sustainable high quality, lower cost healthcare environment.
Josh Raskin: Thank you. 
David Wichmann: Thank you, Josh. Next question, please. 
Operator: We’ll go next to Matt Borsch with BMO Capital Markets. Please go ahead. 
Matthew Borsch: Yes, I was hoping maybe you could comment on the -- how you're looking at the -- if you're continuing with the same PBM rebate strategy that you focused on. And did that looks any different now that the administration has decided to withdraw from the ban in rebates in Medicare.
David Wichmann: Good question, Matt. Our decisions around rebates and the application of them where pharmacy pricing protection doesn't exist and an existing policy was made independent of any pending regulation and it was done so well over a year ago now, or so. So our commitment to that remains, I think you know that there's, of the policies that exists particularly in the commercial market about 75% of them already have pharmacy price protection mechanisms in them like a copay, whereas the other 25%, and I'm generalizing here, but the other 25% don't. And when that is the case, in particular, when it intersects with some of the legacy high deductible health plans there, it was really compelling for us to drive rebates to the point of sale to create greater affordability for consumers. We just felt that that was the right consumer response.  So that won't change, as we think about moving forward, there are some legislation on HDHP yesterday, which I thought was pretty forward leaning, which allows for greater flexibilities around managing high deductible health plans that would give us greater flexibility as a market leader in that segment to be able to modify those policies and offer a greater range that allows us to be able to deal with the breadth of issues that arise with those policies intersecting with individuals with chronic disease. So we're looking forward also to bringing out new policies that are more responsive broadly to consumer expectations. So you can expect us not to change our stance on rebates.
Matthew Borsch: Okay, thank you.
David Wichmann: Thank you, Matt. Next question, please.
Operator: Our next question is from David Windley with Jeffries. Please go ahead.
David Windley: Hi, thanks. Maybe combining a couple of questions. Dave, to your last answer, on this rebate policy and thinking about membership -- commercial membership, I believe the company has said that it is requiring any new customers to go to a point of sale rebate regime is that having a positive or negative affecting in your selling in commercial?
David Wichmann: So there's two elements to this, first was the 8 million to 9 million or so people that are covered with or have a point of sale rebates applied in our fully insured markets, that is pretty close to being done. That was commenced effective January 1, 2019 on renewal date. So we still have some renewals that will take place as a result of that. The impact of that has been $130 per eligible script savings and as much as a 16% improvement in adherence. So we're going to monitor that and really evaluate what the long-term implications are on individual health and the overall use of healthcare resources. The second piece, again, relates to those opportunities that come to us from January 1, 2020 and beyond, that have no pharmacy price protection mechanism in the plan design, which again, would be about 25% of the total plan design. In those situations, we would only take on that case in the -- if we were able to apply rebates at the point of sale, I'm speaking for UnitedHealthcare at this stage. So those are the -- that's the plan for us going forward. In terms of implication, so, there has been no implication with respect to the -- that policy adoption. The one thing we did see pretty quickly thereafter is a lot more interest on the part of large employers and possibly applying the same policy recognizing that consumers are at risk if they have a high cost drugs and policy features that don't protect them from inflation on those drugs.
David Windley: Thank you. 
David Wichmann: Thank you, David. Next question, please.
Operator: Next question is from a Kevin Fischbeck with Bank of America. Please go ahead.
Kevin Fischbeck: Great, thanks. Just want to get a bit more color on the guidance raise. You raised, the quarter I guess by more than you beat consensus, consensus isn’t always where I guess the company is thinking the numbers are going to be for the quarter. But how much of the guidance raise reflects kind of just the upside that you report in a quarter versus kind of flowing through that upside into out quarters, versus some of the deals that you've closed since last quarter. If you could break into the three components, that would be great. 
David Wichmann: The raise reflect the overall confidence we have in the performance of the business, as we sit here today and our prospects for growth. But also, as we look forward to the future as well, but John, can you adjust to the details?
John Rex: Sure, Kevin. So I'd say and the last part of your comment, in terms of any transactions closed immaterial, really, in terms of in terms of what we're doing here today. So those will be, just not that impactful in 2019 to even be noticeable. So really, not about that. I think we tried to show you kind of an impact in terms of the investment income line, in terms of the venture gain that we recognized in the quarter to help level set somewhat on that, in terms of the impact that it had in the in the quarter itself. I think the other component, I would just say that I mentioned in my prepared comments, at least, compared to our outlook, also the tax rate came in about a bit higher for us in the quarter. So providing some offset on that. And then I think in response to Justin's question, I pointed out kind of another impact that was yet another offset on that. So a lot of those factors kind of, as I go through that you can see within the quarter, pretty much washing out in terms of that impact. Does that help, Kevin?
Kevin Fischbeck: Yes, I think that helps. I guess you're saying though, that when you break it out, it's been mostly within the quarter or is it the split between the quarter and rest of the year.
John Rex: I’ll be clear on that. So what I was saying is, in terms of when you look at kind of the impact in the quarter and kind of that go. So what I called out was that we talked about the venture gain, we talked about some other elements that go -- that offset that. So really that drags in, in terms of kind of how we're feeling about our full year and kind of the optimism confidence we have in the full year. Because some of those quarterly elements really wash out.
Kevin Fischbeck: Perfect, thank you.
David Wichmann: Thank you, Kevin. Next question, please. 
Operator: We'll go next to Ricky Goldwasser with Morgan Stanley. Please go ahead.
Ricky Goldwasser : Hi, good morning. So my questions are around kind of like what we're hearing out of DC. Obviously, the rebate rule is out, but we have some -- couple of new proposals wanted to get your view on them. So the first one, the administration put out recently an executive order that looked at increasing price transparency in healthcare, including requiring providers and insurance to provide or facilitate some access to information about negotiate rates. So I wanted to see kind of like how you think about this, and the potential impact on the competitive dynamics? And secondly, back in May, House Ways [ph] and means kind of like an unveiled its legislation that it would shift to risk of catastrophic coverage, and look at a donut hole from patients and the government to health plans and manufacturers. How do you think about this? Is this yet just another proposal that would ultimately result in higher premium and therefore would be shelved? Or what potential impact do you think it could have on you? Thank you.
David Wichmann: There's a lot of policies and proposals and proposed regulation activity going on today. And it's in part mixed with the political campaigns. So there's a lot to -- there's a lot out there. And some of that is subjected to formal processes and others is more just direct commentary. And so our -- I think here for this purpose, we would probably restrict our commentary to general types of themes as opposed to find ourselves commenting outside of the formal process. But -- so I just maybe emphasize a few things here. One is, as it relates to drug prices in particular, I think it's fairly clear now that there's that drug companies set these prices. I think one of the things that was implied in a rebate rule was important emphasis on continuing the PBM’s rule as a counterbalance against those list prices increases, but also direct recognition of the strong value PBMs bring not only in the management of procurement, but also as they manage the pharmacy benefit, as well as in the case of OptumRx distinct value that comes with the intersection of all of that with the medical benefit, driving considerable additional value. We save consumers about $2,000 per year, per consumer in these activities. And I think that folks are starting to realize that and really value it. So I think that that will weigh heavily on whatever ultimately comes out. Also, I think you've also seen that we began bringing really strong value to people through this application of rebates at the point of sale. Really to ensure that consumers are protected from these list price increases overall to the best of our abilities and we'll continue to pursue those activities. And so I think that covers off your -- the kind of the commentary you had about the rebate rule. And the second piece as it relates to the House Ways and means donor hole. Do we have any specific commentary on -- further commentary on that looks like not. So we'll just stick with that response for now.  Thank you, Ricky. Next question, please.
Operator: We'll go next to Steve Tanal with Goldman Sachs. Please go ahead.
Steve Tanal : Thanks a lot guys. You’ve covered a lot of ground, I guess, the one thing on the guidance that you didn't touch is the OCR ratio 14.4% to 15%, I think was the last guy, it seems like it's tracking a little light there. So that's really just my question any color there? And maybe just if I could sneak one more. On the PPD, we would love to know what was entry year verse prior year inside of the 270? Thanks so much.
David Wichmann: John?
John Rex: Yes. Hi, Steve. Yes, no change on our OCR outlook for the year. Though as you kind of if you look at the year-over-year. I'm sure you're well aware the primary change in the OCR is driven by the health insurance tax that gets being offset by strong efficiency and productivity gains. And then of course, we continue to make significant ongoing strategic investments in our businesses. So -- but no change from the outlook, we still expect to be in the guidance range of 14.7% plus or minus 30 basis points for the year.
Steve Tanal : And the PPD side. 
David Wichmann: Next question, please.
Operator: And we'll go next to A.J. Rice with Credit Suisse. Please go ahead.
A.J. Rice: Hi, everybody. Maybe just ask about MA now the bids are in for 2020. I know the company stressed the last few years’ consistency of benefits. We'll get the health insurance be coming back next year. Do you feel like, you'll be able to maintain, at least in a broad sense, consistency of benefits next year and it looks like two of your major competitors in the space that have grown extraordinarily this year have done so via really deploying those benefits of the hip moratorium this year. And presumably they may have to look at that next year. Do you see an opportunity maybe for a little bit of accelerated growth, if you can be consistent next year?
David Wichmann: Good question, A.J.. I really applaud our team's efforts and how they thought through this on a multi-year basis. Brian, you want to give him some details?
Brian Thompson: Sure. Thanks for the question, A.J. To your point, obviously the tax is returning in 2020. As I’ve said before, we will measured and discipline and how we went to market inside 2019. Certainly mindful of that tax headwind returning. I would say our multi-year approach was a critical factor in shaping our optimism around 2020. Our goal and intention is to keep our benefits largely stable to improving despite these headwinds. So, right now, I would say that we're really pleased with our product positioning going into next year and a foundational element was our discipline in 2019.
David Wichmann: Thank you, A.J. Next question, please.
Operator: Our next question comes from Peter Costa with Wells Fargo Securities. Please go ahead.
Peter Costa: Good morning, and good luck to John Penshorn and congrats to Brad or maybe that should be the other way around. My questions is on DMG, I want to talk about -- the performance of that has been fairly weak over the last few years. And now that you've got it the transaction closed and it's yours. How will you improve the performance of that business? And how quickly do you think you can bring some improved earnings to the bottom-line there?
David Wichmann: Thank you, Peter, for the question. We're pleased to close the transaction out your extraordinarily long time. Dr. Wyatt Decker is here. Wyatt, do you want to talk about what you're doing at DMG?
Wyatt Decker: Yes. Thank you, Dave. Thank you, Peter for the question. At OptumHealth, our care platform we call OptumCare is building the nation's leading value-based physician led and patient focused health care system. We're very pleased to have completed the acquisition of DaVita Medical Group, which combines another leading medical center with our practice. We feel confident that as we provide our clinical expertise, analytics and services to the DaVita Medical practices, you will see enhanced performance of the DaVita Medical Group and integration with our leading value based practices. Thank you. 
David Wichmann: So Peter, we are pretty pleased with how DaVita transitioned over. Having done -- bring down diligence and looking at the run rate or the performance of the business. So we were pretty pleased with that. And so the foundation from which we will improve that practice and drive the type of synergies that we expect was there. And so we have high confidence you'll start to see some meaningful contributions from that platform in 2020 and beyond. Thanks for the question, Peter. Next question, please. 
Operator: Our next question is from Sarah James with Piper Jaffray. Please go ahead.
Sarah James: Thank you. It's clear the value United and insurers are creating for healthcare affordability and quality when you look at the historical industry cost trend of 7% to 8% being brought down to 6% range with consumerism. And now you have a peer talking about future trends in below 2% range benchmark to medical CPI granted they have some skewing from ASL inclusion. And Dave at a conference last month, you mentioned national health expenditures plus or minus is interesting construct to consider medical costs trend.  So I was hoping you could elaborate a little bit more on how you think about the right framework for talking about cost trend, whether it's CPI or NHE and if it is national health expenditures, which runs in the mid-5, how do you think about United’s business model being able to produce long-term trend in line or better than national health expenditure trend?
David Wichmann: That's a really thoughtful question, Sarah. So a couple of things. First, we have begun to look at it more closely and thinking about whether how we are contributing to bringing a greater affordability more broadly across the segment of Medicare, Medicaid in commercial. And have started to evaluate that against NHE to determine again, whether we are a contributor to trend or whether we are actually reducing trend. And so that that's something that I think you'll hear more about from us. The other is as we sit here, we oftentimes talk in commercial trend context in these settings. All the while, we have a very robust and large government programs based business. And those obviously have trends inside them as well. So we're trying to think about a way to bring forward a view of that more broadly. So you can assess our aggregate performance across our business. We -- so NHE will be important in that respect. It is a complicated metric in many respects, I can -- I think I can safely say that we are contributing positively to reducing the nation's healthcare burden. And that healthcare burden has been declining over the course of the more recent past. And we would aim very hard to continue to move that forward, recognizing that the way to get that done is to advanced quality first and foremost, which is really the improving outcomes. And then the evaluation of and making sure that we drive efficiency in the use of the nation's healthcare resources in achieving that quality, and then not missing the opportunity to improve the patient experience as well. So this is a very high priority for this organization to contribute in a constructive way to reducing the overall healthcare burden in the U.S. And we believe you can see that in some of the remarks that, informing the health system through the application of the IHR, engaging people and managing their health conditions more proactively through the Raleigh platform and aligning the reward system in healthcare to drive that triple A value is essential to achieving that. And that's the essence of the commentary that I began this call with today. We would add a fourth element to that and that was really around our physicians and providing them a work environment or environment where they can practice medicine, the way they've been trained and to allow them to the freedoms without burnout to be able to deliver solid, high quality outcomes and results for their patient base. And we believe that OptumCare is and UnitedHealthcare broadly is creating just that environment. Thank you for the question, Sarah. Next question, please.
Operator: Our next question is from Lance Wilkes with Sanford Bernstein. Please go ahead. 
Lance Wilkes: Yes, just had a question with respect to the drivers of growth over in the Optum side of the business. I was wondering for Optum Health, for its growth, how much of that growth was driven from risk taking or the shift to value based reimbursement and however on the PBM side how much was driven by increased use of specialty home delivery?
David Wichmann: Tom Roos, do you want to take that? 
Tom Roos: Sure. Thanks very much, Lance. Appreciate the question. So when we look at the growth at Optum broadly, very significant growth and really good market acceptance around the risk taking that we have in OptumCare, and continue to expect to see growth there. As well in other parts of OptumHealth, very much seeing growth in the Optum serve part of the business, which is the part of the business that serves the federal employees as well as military veterans’ part of our business.  And you may recall earlier in the year we announced at the end of last year, we had received a new contract for a community care network. And with that, we were awarded three regions. And when we were awarded that we expected that we would have about 6 million potential new members in there over the next several years and we've driven very well at the implementation of regions one, and two. And just continuing to drive success in that market. And then the other area that I would focus on is Optum financial services as well.  One of the leading health services, financial institutions with about 5.5 million consumer accounts and very significant growth in assets under management as well. And just continuing to really drive growth in that part of the market to really help with tools and capabilities for consumers to be able to drive decision making that they use to access care and to be able to fund and serve those individuals as they're making decisions around care choices, and affordability. So really good solid growth in that area, as well, I would say in the PBM the really strong acceptance of pharmacy care services models, you see the wins that both Dave and Andrew talked about in script and in their prepared comments, just really solid growth in that area.  And then also on OptumInsight, strong acceptance in terms of market approach on large deals like the recent announcement of John Muir Health and the strength of bringing healthcare technology services into that part of the market to be able to help with moving the risk and also being able to be more effective in delivering care to consumers and individuals.  So I would look at the full spectrum and say really good, solid opportunities to drive good organic growth that we've been seeing across all of Optum.
David Wichmann: Good question, Lance. Hopefully you read in all that that even we oftentimes showcase certain elements in the call here, but there's a very strong underlying and diverse base of businesses inside Optum that are advancing value to consumers on and the health system broadly on multiple different dimensions. We are running short of time. So I think we can take two more questions. And then we'll conclude the call. Next question, please.
Operator: And we'll go to Michael Newshel with Evercore. Please go ahead, your line is open. 
Michael Newshel: Thanks. Going back to the history, is there any talent with embedded into the 2019 guidance now for midyear commercial intervals that they can return to the fee for the 2020 months of similar to what you saw in 2017?
John Rex: So yes, so just -- thanks for your question there. So not meaningful in terms of any kind of impact there. But every year so we're getting a little familiar with things like this that come in and out of the outlook here. So kind of individually discrete factors that may influence the annual growth rate, I wouldn't call it meaningful in terms of any kind of impact on that for 2019. But yes, this thing will come back again in 2020, comes in, in and out, it seems to insert some in year impact. While given the diversity of our business space, it's usually, really not all that material for us. We look at it as kind of a -- an element that should be addressed here ultimately as you reintroduce that to the system. But nothing material that I call out in the 2019 outlook.
Michael Newshel: All right. Thanks.
David Wichmann: Thank you. Next question, please.
Operator: And our next question is from Ralph Giacobbe with Citi. Please go ahead.
Ralph Giacobbe: Thanks. Good morning. I'm surprised that no one has asked about this. Any initial commentary on sort of 2020 and specifically if you can size the hist [ph] and headwinds, in terms of just size dollars there. And whether or not that'll hinder your ability to grow within your 13% to 16% target range at this point? Thanks.
John Rex: Sure. Well, no, I guess, I'll start by saying I appreciate the valiant attempt to 2020 guidance, which we won't be providing here today. And keeping that long held custom we will provide some initial thoughts in October with our third quarter earnings call and then we'll provide really detailed view at our investor conferences as we always do. I will offer a few thoughts, because I think you asked a good thoughtful question there. So first as it relates to our 13% to 16% long-term earnings growth objective is just that, but long-term outlook not meant to be a single quarter or a single year point estimate. I think as I reflect back a little bit, let’s say over the last decade or so, let's see. So we've through today reported 42 quarters, right. I'd say annual average growth rate over that period has been 18%, but including where I expect to land in 2019, we had seven quarters that have all been well above or within that 13% to 16% target and four that were below.  If I call a little more granularity, I think about 42 quarters, we've had 28 that were in or above that guidance range and 14 were below. So it's a pretty strong batting average against the long-term growth rate. And we expect it's going to continue to be quite strong for the decade to come. But it's a long-term growth rate, and we manage the business to sustain that growth in the future. We don't -- typically there aren't in discrete individual factors that we see as that have really influenced that and I can think about many factors that have occurred over the course of this company, whether it was going back to stars or other elements or years where Medicare rates were not -- where we're different than maybe expected. The hit is just the favor that comes in and out and openly passes through also. I think a few things that, I know you're all well aware of here though, it is a cost that's ultimately shouldered by American families, small businesses and seniors. It's a non-deductable task to comes in and you've seen it come in and out. And I know you all are deeply aware of the mechanics and for us, it’s just mechanics passes through. But it comes in and out and cut insert year, end year impact sometimes when it comes in and out. As I said in the last -- response to last question, given the diversity of our business, it's just not really all that material to us. But it's noticeable that, things like I'd point out that, again, you're well aware of non-deductible nature of the tax alone adds 300 to 400 basis points to our effective tax rate. That's just the math of it. There's the calendar year versus policy year differentials on the commercial business, I can go on. But I'm confident that after several years of this, by now you're all aware of those impacts.
David Wichmann: Right. Thank you, John. Thank you all. So I’d just like to maybe sum up where we are, as we close out this call. UnitedHealth Group ended the first half of 2019 with considerable momentum delivering strong, well balanced earnings growth across all of our businesses. It's with confidence that we're expanding -- with our expanding capabilities and available growth opportunities that we increased our outlook for full year adjusted earnings per share. Optum and UnitedHealthcare both perform strongly in the quarter. Both are focused on lowering costs and improving health outcomes and the consumer experience as they seek to help advance the next generation health system in a socially conscious way. A system that provides high quality, efficient and fair access for all. This concludes our call today. Thank you for joining us.
Operator: And this will conclude today's program. You may now disconnect. And have a great day.